Operator: So good morning, ladies and gentlemen. Welcome from KomercnÃ- banka. Thank you for sharing your time with us. Again, this time, it is the 31st of July 2025 today, and we are going to discuss the 2025. Please note that this call is being recorded. Our speakers today will be Jan Juchelka, Chairman of the Management Board and CEO of KomercnÃ- banka; JirÃ- Å perl, Chief Financial Officer; and Didier Colin, Chief Risk Officer. And standing by and ready to answer your questions for them are Margus Simson, Chief Digital Officer; Miroslav Hirsl, Head of Retail Banking; and KatarÃ-na KurucovÃ¡, Head of Corporate and Investment Banking. As always, we will begin with the presentation of results, which will be followed by a questions-and-answer session. [Operator Instructions]. And now let me ask the CEO, Jan Juchelka, to begin the presentation. Thank you.
Jan Juchelka: Hello, everyone. Thank you for being with us. It's my pleasure together with my colleagues to lead you through the presentation. And obviously, we are very much looking forward for your further questions. Let me kick off with the opening page by saying that we are coming to the market with probably unexpectedly high level of increase of the bottom line. And I think that we need to provide a bit of comments on how did we get there as we are mainly counting with the release of provisions as one of the contributors to the Q2 results. Having said that, KomercnÃ- is being built on a rock-solid balance sheet, very strong on the side of capital, very strong on the side of the quality of our assets. and pretty solid growth in the commercial activities across all the relevant segments. Komercni was growing not only on that side, but also by number of clients. We have 47,000 more heading towards 1.8 million for the bank. KBl+ as the new application is already taking care of 1.3 million clients, out of which approximately 1 million are the migrated clients from the old world to the new world. For the entire group, KB Group in Czech Republic and Slovakia, it's 2.2 million clients. Loans were growing by 4.3% on year-over-year basis, quarter-over-quarter by 1.2%. One of the main contributors here were mortgages and housing loans provided either from the mortgage loan production or the housing loans as they are defined for the building saving company, Modra Pyramida. Deposits were slightly down, 2.6%. We don't like it. We have taken active measures for turning the trend into positive numbers. One of the first signs, which we like and we hope it's the beginning of a new trend is the growth of current accounts by 1.8% on a year- over-year basis. Where we are remaining strong is the activity with clients on the side of investments into assets under management outside the balance sheet of the bank, which in our case is mainly the joint solutions with Amundi or insurance products provided by Komercni pojistovna, the joint venture with SG Assurance and the pension schemes by 100% owned subsidiary pension company of KB. So here, we were growing by 8% on a year-over-year basis, 2.5% by quarter-over-quarter. Inside this category, the mutual funds were growing by double digit, 14.2% on a year-over-year basis. All that translated into the results is the group net income for second quarter, AZN 4.6 billion, is by 30.6% higher on a year-over- year basis, translated into net profit per share, it's CZK 24.48. Cost to income nicely compressed deeply below 50%, so 45.7% and ROE bringing back to the market is close to 15%. First half of the year, again, very strong growth of the bottom line, CZK 8.8 billion by almost 39%, CZK 46.64 per share. Cost to income, 48% and ROE 14.4% slightly adjusted under the assumption of IFRIC was remunized. Balance sheet and capital, as I have already mentioned, very strong position, 18.6% of the total capital ratio, Tier 1 17.7% Tier 1. Loans to deposits slightly up, but still in a very safe territory of 83.5% and both the short-term and long-term liquidity high over the -- above the prescribed levels. KomercnÃ- banka was recognized by Visa as #1 sustainable bank. It goes hand-in-hand with the SG Group award by -- as the world best bank for ESG by Euromoney. And our colleague from the Board of Directors, Ikahabuva was recognized as #1 woman in payments by Visa Awards for 2024. Let me invite you for the next page, which is describing the current status of transformation of KomercnÃ- banka. The new digital bank will be done very soon for retail. So all the technological systems are up and running with very solid stability. We have 1.3 million users already inside, out of which 1 million migrated from the old world to the new world. So we have approximately 600,000 clients ahead of us as far as retail is concerned, and it want to be finished at the end of this year. We have very promising statistics coming back to us from the usage of KB+, which is the name of the application, which is between #1 and #2 most downloaded banking or financial applications in the country. Also thanks to the fact that the migrated clients will need to have it available for functioning with KB. We have put in place significant simplifications all over the place, processes, all the procedures, how we are creating the software, how we are creating the development of new products moving completely to 100% digital communication available with clients, et cetera, et cetera, which is also bringing back significant cost benefit from all these aspects. You may have noticed that cost management is one of the strongest disciplines, not only for the previous quarter, but if you allow me, I will take it as a signature discipline for KB on a longer-term basis. What will be the next steps? As I have already mentioned, completion of individual clients migration in 2025, continuing with entrepreneurs, physical persons and entrepreneurs, legal persons down the road, 2026, 2027, and we will search for means whether we can potentially accelerate this. leveraging for the upsell and cross-sell opportunities on the new technologies because not only the statistics of stability and increasing Net Promoter Score, but also statistics of having digital channel as a full-fledged sales channel are pretty promising. And we would like to take out the entire burden from our people who are running the bank on a daily basis and selling products, the entire burden of being in 2 parallel systems and being busy with the migrations and concentrate fully towards the service and sales mainly of our products towards clients in 2006 and on. So we are expecting the NBI contribution stemming from that, sustaining or increasing NPS levels as time goes with each and every additional usage of the application clients are happier after the little stress which they might have with migration from the old to the new world. So on that front, we will push all the buttons related to organic growth for 2026 and on. We will -- we will continue investing into modernization of technologies, obviously, and further strengthen the competitive positioning of Komercni Banka in the era of digital banking or if you allow me, universal banking with strong digital background. We have also concluded a couple of deals. One of them is pretty important for us. This is the 100% acquisition of GE. Can you please can you go back? Yes. Yes, this one. So where we were acquiring 49.9% currently being the only owner of this beautiful equipment finance company. A little bit low importance, but still worth to mention is the disposal of 24.8% of KB stake in Roger, which is a digital factoring platform to Orbion, which will bring this company to the international markets as an expert for factoring financing in Europe and disposal down the road envisaged disposal of the minority stake in Advest, which is the -- sorry, not disposal, but acquisition of 4% of Advest from the founders of Advest, which is a very, I would say, successful crowdfunding investment platform. Let's move to next page. Now let me zoom on macro echo. We are lucky that we are making our business in stable country with -- on a growing trajectory, which is not given in the current environment. The country is growing on GDP in second quarter 2025, moderately by 0.2%, quarter- over-quarter by 2.4%, mainly driven by the consumption and investments of households. Wages went up by 6.7% in first quarter. Obviously, this is the season for adjusting the salaries. and when all the collective negotiations are being finalized in the first quarter. The unemployment rate remains very low, 2.8%. And we have, as you know, in the country, we have more or less a bit of structural issue of unavailability of working power. The consumer price inflation is inside the corridor of tolerance by Czech National Bank being in June in 2.9% year-over-year increase. Czech National Bank remains at 3.5%. We are now very like cautiously reading their comments before the next meeting where they might be reacting on that front. Czech Corona has been stronger by 13th of June by 0.9% towards euro and by 8.5% towards USD, which is a bit volatile nowadays in the season of concluding the political agreements over tariffs between U.S. -- United States of America and Europe. We are patiently waiting for the written form and the finalization of these negotiations, even though the overall impact towards the GDP in Czech Republic is still expected accordingly to our macro eco team below 1%, rather in the territory of 0.5% than higher. What is probably worth to mention here is that we are stemming from very healthy conditions of public finance, which is the public finance balance is at minus 2.2% or 2.3%, respectively, between '24 and '26 expected and with very low overall indebtedness towards GDP in the territory of 46% to 47%, which is qualifying us among the healthiest countries as far as the public finance is concerned. Let's move to next page, please and we are already coming to the business development. So loans are up by 4.3%, mainly driven by mortgages and housing loans, as I have already mentioned. But also hand-in-hand with that, this is the business loans for our corporate clients, which are growing by 5.1%. KomercnÃ- has grown also the consumer lending part of loans by moderate 2.2%. When we dive deeper into corporate lending, it was mainly driven by financing of the local economy. We are also happy with SGEF contribution by 4.5% growth. A little bit less happy with 1.7% of the growth of financing of SMEs, which is also a bit of indicator where are the potential gaps which we can -- which not only can but which we are addressing and which we are focusing on. Next page, please. Here, you see that KB in corporate financing was all over the place, public sector, private sector, some of our -- some of those clients which are listed here were provided by financing, which helped them to really go through like transformative projects for their companies. And we are keen to continue playing our role here as one of the strongest corporate financiers for Czech clients in the corporate world, but also on the side of public sector. Let me invite you to the next page, which is dedicated to deposits, slightly down. We are not happy with the trend. We are doing our best to reverse it. You might have noticed we have pretty strong campaign currently on attracting more money to saving accounts and term deposits in order to stop the decrease. On the side of current accounts, we hope it's the beginning of a new trend, the moderate growth of 1.8%. It's very important to be back into positive territory, especially in this nonpaid type of deposits. Even between quarters, between first and second quarter, the dynamics of the decrease were slowed down exactly by this trend of increasing current accounts. Speaking about building savings, we are not completely panicking here because we are falling down hand-in-hand with the market. So it sounds nominally high number, nonetheless, pretty copying what is happening on the market. Assets under management outside the bank, driven mainly by mutual funds, which are growing by double digit, 14.2%, followed by moderately growing insurance products, insurance investment products and the pension schemes oscillating long term around 0. The sales of mutual funds is continuing in a very strong gross sales. We are working intensively on the composition of the investments in order to invite our clients to more like longer-term solutions. Next page is already dedicated to our CFO. So I'm handing over to JirÃ- Å perl. Thank you.
Jirí Šperl: Thank you, Jan. Indeed, a pretty strong financial performance in the first half of this year, i.e., CZK 8.8 billion, i.e., plus almost 40% year-on-year. What's even more positive is that almost all categories contributed positively as visible in the left chart. The highest positive contribution is coming from significantly improved cost of risk that added roughly CZK 1.6 billion year-on-year, reflecting, as mentioned by Jan, the superior quality of our loan portfolio. And no doubt Didier is going to comment on that later in deeper detail. The quarterly dynamics is traditionally visible on the right upper chart. So quarter-over-quarter growing by strong 10% year-on-year even more by almost 1/3, again, strongly influenced among others by cost of risk. Anyway, this, of course, transpost directly into the strong profitability indicators as shown at the bottom left, so ROE is at the level of 16.6% adjusted and ROA 1.1%. If we move to the balance sheet, it accelerated as well, i.e., year-over-year roughly 4.6%. On the liability side, the client deposits remained more or less flattish. The growth on the liabilities driven mainly by amounts due to banks growing by roughly CZK 60 billion year-on-year. On the asset side, 3.5% growth of the client loans was complemented with the placement of the liquidity surplus into the Czech growing by almost CZK 40 billion. The growth in this category was visible mainly in the second half of the year. Let's move to main categories, accounting categories. So let's start with the net interest income. So here to say despite the doubling of noninterest-bearing mandatory reserves since the beginning of the year, January 1 this year, 6 months, NII is growing by 3% year-on-year. It's right upper chart supported mainly by NII from the deposits jumping by 7% year-on-year. Main reason behind is an improved structure as was already commented by Anna. Still at year-on-year evolution, income from the loans was up by 2 percentage points. And here, it was driven mainly by volumes, while the spreads remain comparable. In terms of quarter-over-quarter perspective and that right bottom chart, NII remains basically flattish, where basically all categories growing, but the income from the investment banking to say it is not as much undeliveries on our investment banking guys, but rather a bit change of the structure of the income in Q2, investment banking was delivering a bit more in the financial operations, I mean, accounting-wise, as I'm going to comment in a minute. In terms of net interest margin, left upper chart, it is both year-on-year and quarter-over-quarter flattish at 1.7%. By the end of the year, we are expecting a slight rise due to continuing improvements in the structure of the deposits. This is bringing me to fees and commissions. So fees and commissions is growing strongly year-on-year, plus almost 5%. And here, the champions are kind of obvious. First, it is fees from cross-sell growing by 13% year-on-year following dynamic sales and thus growth of the outstandings as well of nonbank assets under management, as was commented already by Jan. And second, super high dynamics of the income from the specialized financial services, that's a gray part in the chart granted mainly to our CIB clients and clients. So that's mainly loan syndication, state finance structured products, et cetera, et cetera. From a quarter-over-quarter perspective, there is a decline, minus 6.5%, mainly influenced by, let's call it, base effect. Why? In Q1 this year, there was still above average income from the specialized financial services, as I was commenting right now. On top of that, in Q2, we generated a bit below the run rate performance in this category. Other categories of fees and commissions are rather growing in Q2, it's mainly about the transaction fees and fees. Let's move to the financial operations. So year-on-year growing also dynamically by strong almost 12%, influenced positively mainly by capital markets operation growing by a very strong 24% year-on-year. Specifically here, Q3 and Q4 last year were super successful quarters supported by decent interest rate hedging activity, reflecting the financing volumes and rate shift. If you move to the quarter- over-quarter evolution at the bottom chart, the income is basically flattish quarter-over-quarter, while there is a slight increase like around 2 percentage points where both categories growing similar pace. Capital markets were a bit hit by unstable global economic backdrop that led to fluctuations in client activity during the previous 2 quarters. Maybe here, one comment for the net gains on FX from payments. The comment is related for Q3. For upcoming quarters, our expectation is that this category will jump again due to the seasonal increase of mainly cards payments, both domestic and foreign. It is always the case, and you can see that also in the right chart below in the evolution Q2 and Q3 2024. And last slide before passing to Didier is related to OpEx. So costs are traditionally very much under control. OpEx going down by almost 4% year-on-year. Of course, a decline in the regulatory charges helped, but even without this effect, the cost would not grow. If you go into structure in a bit deeper detail, personnel costs down minus 1 percentage points. And here are basically 2 factors offsetting each other. So ECO, there was an annual salary increase starting from April this year by average 2.5%. At the same time, it was more than offset by a decrease of number of the employees year-on-year by almost 5%, which is further evidence that the efficiency of the group is continuously increasing. In terms of, I would say there are no specific, let's say, items where we are saving -- the overall saving is minus 6% and basically, it went across the board. I also already commenting regulatory funds already during the Q1. So just one cost category growing is depreciation and amortization growing by 10% and still the message is the same. It is still reflecting main investments in digitization of the bank. Jan was commenting at the beginning of this presentation. Cost quarter-over-quarter, bottom chart declining heavily. It's by 10%. On the other hand, the reason is, I think, clear the bank is -- as you might know, the bank is obliged to book the regulatory charges, mainly resolution fund charges already in Q1. Cost income ratio, left bottom chart, and I'm commenting year-to-date IFRIC21 is at 46.9%, proving again, the increase of the efficiency of the bank of the group year-over-year, it is improving by 3 percentage points. And I can already now indicate that the improving trend is going to continue even further. So that's it for now. And now I'm passing to Didier. Didier, please go ahead.
Didier Luc Marie Dominique Colin: Thank you, JirÃ-, and good morning, everyone. So regarding asset quality, I will walk you through the traditional 3 main topics. The first one, which is not represented on this slide is a brief update on the evolution of our default rates during the second quarter. For the SME portfolio, we continue to witness a contraction of our default rate. So in fact, returning to the long-term average following the peak we had sometime last year. We also continue to record some moderate contraction for the consumer lending portfolio. And we have our 2 near zero default rate portfolio, which are the mortgage loan portfolio and the large corporate portfolio. So here, no change, continued strong level of resilience. Going a little bit the other way, but without any cause for concern was our small business lending portfolio whose default rate increased a bit in the second quarter, but still at levels that are well within the gross margin for that particular portfolio. So that's for the default rate. Now -- when looking at the composition of our loan book by IFRS 9 classification, in fact, there has been a quite material shift in the second quarter following the reversal of our post-inflation overlay assigned to the mortgage loan portfolio, which was planned and announced to you in the previous quarters. And so this explains most of this decrease you can see on the screen from nearly CZK 120 billion down to slightly below CZK 90 billion. And this is the main evolution. The S3 category continued to marginally decrease, but nothing really spectacular here. And in fact, completely consistent with the observed default rate, which -- stability, which I just commented briefly on a minute ago. So the third and last point for this slide is the resulting metric which we report, i.e., lower S2 ratio from 14% in the first quarter down to around 10% in the second quarter, stable NPL or S3 ratio now being slightly below 2% and a stable provision coverage ratio for defaulted exposure that continued to fluctuate around the level of 45%, which puts us very much in line with the regional level for that particular metric. So that's for the asset quality. Going on to the next slide, which gives you the overview of our cost of risk for the second quarter. So for the second quarter, we booked a level of cost of risk slightly above a net release of CZK 0.5 billion. And this CZK 0.5 billion, in fact, has 2 main components, CZK 500 million or slightly below CZK 500 million, CZK 479 million exactly in net reversal coming from the corporate portfolio. And this being justified or explained mainly by some partial net reversal of our overlay reserves booked on the non- defaulted exposure. And the second element is the one you see on the slide, which is for slightly below CZK 50 million in net releases coming from the retail portfolio. And here, this is the net result from what I just mentioned before, which is the reversal of the mortgage loan portfolio overlay for something in the range of CZK 200 million, partially offset by some provision creations reflecting, in fact, the usual mix of new defaults at a low intensity level and some standard quarterly IFRS 9 adjustments. So this is for the quarter view and the semester view is very similar at 22 basis points in the negative territory. And in fact, here, you have the 3 main components which are familiar to you. One was the release of some client individual reserves in the first quarter, which we commented at the beginning of May. Then we did these partial releases of some portfolio reserves on the non-defaulted corporate portfolio in the second quarter. And the third smaller item is the one I just mentioned, which is the release of the so-called post-inflation overlay related to the mortgage loan portfolio and well in line with the resilience of that particular portfolio. So this is what gives you this low point of minus 22 bps for the first semester. And in that context, we've decided to readjust or to revise our year-end guidance at a level taking into account this Q2 evolution as well as the planned further releases for the second half of the year for the retail unsecured portfolios. So this would take us at a level around, if not below 0 bps for the full year. And on that, I will now hand over back to you, Jiri. Thank you.
Jirí Šperl: Thank you, Didier. Let's move to the capital. Well, just briefly, current capital adequacy is still very strong despite the fact that we are creating provisions, as you know, for 100% dividend payout. As of end of June, it's at 18.6%, i.e., slightly down year-to-date, slightly means in this case, only 14 basis points. So we are very negligible. All in all, it means that we are like 200 basis points above the regulatory minimum. It is just at the upper edge of our management buffer. One comment to risk-weighted density is basically year-to- date stays at very comparable levels, i.e., 36.6%. And the last slide of the presentation is focusing as traditionally on the outlook. So basically, we are not changing the 2025 full year outlook with 3 exceptions. The first one is there is a slight postponing in the expected monetary policy area of CMB. More completely, now CMB is expected to cut 2 week rate gradually to 3% terminal rate by the first half of 2026. The previous guidance was by the end of 2025. In terms of growth and it is relevant and valid both for the banking market and KB business outlook and both loans and deposits, still the expectation is mid-single digit. So basically no changes. So the second change is a bit downgrade of the revenues. Now what we are saying is that revenues are going to grow at low to mid-single digit. Three months ago, we are saying mid-single digit. And the main reason behind is a bit, let's say, gap or slowdown in net interest income and also net fees and commissions. That's one thing. On the other hand, the management of the bank decided to, let's say, deliver some extra effort on OpEx side. And here, we are upgrading the guidance to the decline of costs at mid-single-digit rate 3 months ago, it was low to mid-single digit. Skipping credit risk as it was commented by Didier, in terms of potential risks of the guidance, there are no changes. So it's mainly about the geopolitical conflicts. So that's all for now, and I'm returning words to. Thank you.
Operator: Thanks to all presenters. In the next part of today's meeting, we will be happy to answer your questions. Let me remind you that this meeting is being recorded. [Operator Instructions] Our first question is coming from Rob Brzoza from Banku Polskieg.
Robert Brzoza: I have one question on the fee development. I think this line has been a little bit disappointing. As I understand, you are offering flat fee packages to customers deciding to join the new online platform of the bank. But this, in effect, as I understand, is changing the profile of the fee business going forward as this could be now less sensitive or insensitive at all to the positive -- potential positive volume effect. So this is my question. Has the fee business character, I mean, elasticity to the volume of the underlying business has changed going forward so that now a higher share of fees would not be responsive to, say, transactional deposit and other volumes. And the main drivers would that shift to capital markets and cross-selling segments of the fee business.
Jan Juchelka: Jiri, would it be okay if I start answering by retail part of the area, if I may. Sure. I think you are touching quite important point, and we paid a lot of attention to this conversion. You may remember that we were the last bank on the Czech market asking clients to pay fees, maintenance fees for any current account. And it was not an easy position for a few years. So we took the opportunity of building a new bank as something that we can change the fee policy. And it's true that an important part of our clients is not paying anything for the current account as such for the simple one. On the other hand, if you look at the structure of fees, we succeeded to convert the original portfolio of accounts into the new one without losing any fees. So even after we migrate, the fees are slightly higher than it was before because those higher tariffs that are paid compensate for the loss that we incurred on those tariffs that are free of charge. This is one point. So we succeeded to maneuver through that difficult or sensitive point without any loss. On the other hand, it would be inevitable anyway because the position of a bank is charging everyone for even a simple current account was just not sustainable in the long term. If I am giving you an understandable answer.
Robert Brzoza: Yes, indeed. But what does it imply for the future growth of the fee business? Is there still competition from fintech, which is going to put a lead on the fee, especially retail fees? I mean, how would you assess where the, say, 3-year CAGR on the fees lies? Is it more lower single digit or higher single digit?
Jan Juchelka: For lower or high single digit, I may let I comment the prediction. But in terms of substance, what I'm saying is that -- we are not perfectly competitive in terms of pricing for day-to-day banking products, first point. Second, we didn't lose anything in the conversion process to the new bank. And the third one, we will not be able to increase the unit price. This is not possible on this market. But while growing the number of clients, we should grow the number of fees, speaking about day-to-day banking part of the business.
Robert Brzoza: Right. Got it. And with the growing number of transactions, will it positively still affect the fee business going forward as well?
Jan Juchelka: On retail, no. And this is not the case for any single bank on the market because transactions for retail clients are just not charged. This disappeared from the market, this revenue stream some time ago. We were the last among the others.
Jirí Šperl: I can complement to Marek and I have 2 comments. First one related to Q2. Maybe it's important to understand that so far, majority of the migrated clients are mass market, right? And not negligible part of them selected the basic packages with a rather lower fees charge. For the time being, we are already in the migration of affluent clients and Cs, and it is proved throughout the time that they naturally are selecting better i.e., higher packages. That's one comment. Other comment is the question was guidance for the years to come in retail fees. So it will be at the range mid to high, not average fees on the customer is going to -- is expected to increase. That's clear.
Robert Brzoza: If I may, one last point. Do you envisage at any point also a shift in the fee business for the corporate clients to more flat-based fees as opposed to volume-based fees?
Jirí Šperl: I will start, maybe KatarÃ-na will complement. Expo, there is a very direct correlation between the volumes, right? Because it's on corporate side, mainly on specialized services from the financial operations. And here, definitely, we need volumes. So very clear correlation.
Operator: [Operator Instructions] Our next question comes from Mate Nemes from UBS.
Máté Nemes: Two questions, please. The first one would be on new lending or lending growth and specifically on corporate lending. So it seems like -- in the second quarter, growth was mostly driven by working capital finance, which I would think is a somewhat lower margin and shorter duration as well. What can you tell us about demand and the pipeline in investment type of loans and a more structural longer base recovery in corporate volumes perhaps in the second half or having an eye on next year as well? That's the first question. The second question would be on costs. Clearly, there's a very clear trajectory of improving efficiency on that side and net cost takeout. And I think, Gerg, you mentioned that you expect these improving trends to continue in costs as well. Can you be more specific, be it in absolute terms or in terms of cost/income ratios, particularly for financial year 2026?
Unidentified Company Representative: So to answer the questions concerning the lending horizon in corporate, -- we do not have any significant stress concerning the pipeline. The pipeline is there. The thing we need to work on, and this is actually one of the first steps of my mission is to be able to deliver on the pipeline in a reasonable amount of time. This is particularly true for the SME segment, where we are now evaluating the results of a pilot of a more industrial approach to the approvals with the aim to increase or to shorten time to on the credit process. On the large corp, we also see a handful of really nice transactions being materialized in the short term. For the second quarter, in particular, we were trying to equip ourselves with more appropriate sizing of various sectorial limits, which were a little bit limiting our growth in the large corps during the second quarter. This being done, we believe that the second half of the year in the large corporate segment will be much fruitful as we've seen so far.
Jan Juchelka: I will focus on the second question, which was about costs, improving efficiencies, et cetera. So yes, you are right that the efficiency is improving. I can guide -- issue the guidance that full year 2025, we are targeting cost income at the level of 44%. Why? Basically, we are delivering as committed during 20 during the announcing of KB 2025 strategy measures listed at that time. So we are according to the plan, releasing of the employees as the efficiency is increasing is going end to p,tetera,tetera. Of course, digital sales increased significantly on top of my head from 10% 5 years ago to more than 50% right now, which is allowing us also to cut to close branches. So the original target was 200 branches at the end of 2025. It's already the case. We are at 185 and this will be end of the year, very likely, right? So to conclude, at the end of this year, around 44% cost-income ratio for 2025, you know that we are guiding usually during Q3, Q4 results presentation, but I can at least indicate the direction. So in terms of costs, we are expecting to have them flattish, plus/minus. And on the top line, we are expecting a jump in revenues benefiting from the completed transformation at the retail side.
Jirí Šperl: If I may just -- if I may to amend a few sentences on both points, and thank you for this question. As far as corporate financing is concerned, you have taken a rather forward-looking position. So having said that, we are in pretty heavy preparation stage of public investments into infrastructure of all kinds. So you can imagine energy sector, you can imagine the public infrastructure for railways and roads. Here, Comet is in very intensive discussion with all the relevant counterparts about the future investments. And here, we believe that it will multiply somehow also the investments stemming from private sector. So we want to play our role in that. And sorry for taking a bit maybe longer, even longer forward-looking view because when you look back, the level of uncertainty, the level of delayed decisions on investment, mainly in the mid-caps, but not only was pretty visible. So together with KatarÃ-na, I remain rather positive on the pipeline here, ignoring consciously the fact that we have a few really super active large corporations in the country where -- which are expanding to abroad and making fantastic M&A deals in other countries. And in all of these important projects, KB together with SG Group plays a role of either first line of the syndication or first line of the syndication plus advisory role. Speaking about costs, it's not coming randomly. It's a result of very hard work which we have been conducting between 2020 and today. You may have recalled that back in 2020, when announcing the main assumptions regarding transformation program of KB, we were pretty severe on the side of cost savings and cost savings across the bank. front offices, middle office, back office, combined with the heavy investments into digitization. Now we are in the one of the advanced stages, if not the very final stage of this story, taking also the benefits on the side of costs. So it's very hard. It's very bold, but it's not coming out of the blue. It's a long-term trend, which is bringing its result as we speak.
Operator: Thank you. A few more seconds to ask your question if there is any -- we don't seem to have any further questions. So I would like to ask the CEO for his concluding remarks today.
Jan Juchelka: Okay. Thank you very much. It seems that the presentation which we have delivered is self-explanatory and combined with the reports you have received in the morning, you have enough information. So in between, we are obviously ready to answer any of your questions should you ask on bilateral basis. Speaking about the results, we are obviously aware that beating the expectations of bottom line is very good. The creation of value for the shareholders is simply there, but we are also aware that the composition of how we get there was not completely optimal. Let me say that the first-class asset quality, which is translated into the releases of provisions and extremely low level of cost of risk, combined with a very strong balance sheet from both capital and liquidity point of view, amended by very strict cost management delivered by the management of this bank is creating our underlying pillars for attacking the market once we are -- once we have all the retail clients migrated into the new digital bank, i.e., beginning of 2026, where the whole system will be fully equipped by all the functionalities which we are planning. Speaking about more like social or societal point of view. Today, we are having Didier last time amongst us. So I wanted to thank Didier for his 7 years of very hard work on the side of risk management. He will be replaced by Anne Dukuzkovski. I'm just referring to our recent official statement. Anne will join us 1st of September, and we are very much looking forward for this new member of the team. Speaking about new members of the team, today, it was the premier for KatarÃ-na KurucovÃ¡. She did very well. Thank you for your reaction on the corporate financing question. And also KatarÃ-na, I'm wishing you all the best, and I'm very much looking forward for the further cooperation. So thank you, everyone, once again. Enjoy the rest of the day, and thank you on behalf of KomercnÃ- Banka management for your trust vis-a-vis our bank. We stay at your disposal for potential further questions. Thank you.
Operator: Thank you. This has concluded the meeting. You can now disconnect. Thank you.